Jan Boone: Good morning, everyone, and welcome to this Management Presentation of our Annual Results. I'm here in Lembeke, together with Mike Cuvelier, our CFO; and Isabelle Maes, our CMO and CEO of Natural Foods. So we will be all presenting part of the presentation today. It's a great day for our company, and I'm incredibly proud to announce that we have achieved a remarkable milestone, EUR1 billion. It's quite influent for our company. After 91 years, we have reached that milestone. And we've seen an acceleration of our top-line this last decade, but especially 2023 has created a record growth here of more than EUR185 million. It certainly surpassed our own expectations for '23, and its healthy growth. Our profitability has remained consistently strong, and you can -- looking at the P&L, it shows on the different consolidated lines, on the EBITs, on EBITDA, and also on enhanced profits. And thanks to this nice profitability, we have generated a robust cash flow, and that cash flow resulted in a significant decrease in our leverage level to just 0.6x net financial debt on recurring EBITDA. A very healthy and low debt level, although tool investments the last two years amounts to almost EUR250 million. So that shows that we created good cash flow these past years. And looking at our two key strategic pillars, Biscoff and Lotus Natural Foods, and they have, once again, demonstrated exceptional organic growth. And these are the pillars that contribute significantly to our overall success. Last year, it's also not just by coincidence, a strong year for Biscoff and Natural Foods. We have shown consistently strong growth over the past 10 years with these two strategic pillars. And yes, in '23, quite some inflation in figures, this being said, the overall volume growth of the company in '23 was close to 10%. Great results, but we have to realize that we need to acknowledge the dedicated efforts of our 2,984 Lotus team members. It's their hard work and their commitment that have played a vital role in achieving these outstanding results. And people make a difference. And that's also why it's important to continue to invest in and focus on the social component of ESG. The environmental parts of ESG is also crucial, very crucial to Lotus Bakeries. And that's why we are investing and focusing on our role to get to a more sustainable society. And a couple of examples. First example, as we really want to get our packaging material 100% technically recyclable, and we want to reach that goal in '25. We are very close to that goal, and we'll get there. Another example is this year, Wolseley, our factory in South Africa, we have increased the plant's solar capacity and installed solar power batteries, and this will reduce the future output of the plant's CO2 emissions. This being said, for us, for Lotus, ESG is not only environmental, it's also known, it's also important to focus on the letter S, and letter S stands for corporate social responsibility. For us, as listed, and at the same time, as majority, founding on the company, growth, profitability and ambitions are important. Yes, we pursue these objectives while caring about our people. We wanted attention for the well-being of our people. We want our people to be motivated and safe, to have the opportunity to develop themselves and to spend their time working together in well-equipped offices and good working conditions in the plants. That brings me to next slide. And the next slide gives you an overview of the total growth of the group in the past 10 years. And here, you see group sales that includes, of course, the three strategic pillars, Lotus Biscoff, Natural Foods and the Local Heroes and also the minor part of private label sales. And starting from 2013 figures, the average growth amounts now to 12.3%. We have made the same graph last year, and average growth starting from 2012 up to 2022 was at 11.8%. So the good thing is we did not have to change the title on this slide, a decade of strong growth. Slide 4, you can see our timeline, the Lotus Bakeries' timeline, and we have added two new items. Of course, the revenue record of more than EUR1 billion. And other records, we have reached, for the first time, EUR0.5 billion sales for Biscoff, we added these two items to the timeline. That brings me to the overview of the three strategic pillars. Biscoff now takes more than half of the total branded TREK. And Lotus Natural Foods has become the clear Number 2, almost a quarter of the revenue. The third pillar, Local Heroes, have realized also strong profits, not only the price increases -- not only through price increases, but also some good volume growth was realized by the Local Heroes. On the next slide, you see the ranking per country. And the U.K. accounts for almost a quarter of our total branded sales, followed by United States and France. The sales in these three countries represent more than half of the branded TREK. Adding the Benelux, and we are at 75% of branded sales. Next in line is China. And Lotus Bakeries had a robust growth year in '23 in China. Number 7 and 8 are two European countries, Spain and Germany. Both of them had a very strong year and proves that also, in our own continent, Europe, we still have lots of potential to years to come. In the next slide, you see the global production footprint. You might notice that we added the nakd logo in Wolseley, South Africa. This factory will, as from now, produce all nakd international demands. So all demand outside of the U.K. In U.K., we will still work together with our core manufacturing. And by the way, after this meeting, we will fly over to officially open this new factory in South Africa on Tuesday. The opening for our Biscoff plant in Thailand is seen, at the latest, first semester of 2026, and we are still fully on time and budgets. Lotus Natural Foods. You can see on that this slide that we started with EUR60 million of turnover, acquiring these U.K. brands, nakd, TREK, BEAR and Kiddylicious are the main brands that we acquired. And today, and with these brands, we realized a turnover of EUR220 million, with a robust profitability, an average growth of 17%. We managed to grow the core, the U.K. business, but the strategy was also to increase international sales outside of the U.K. And looking at the international parts of the sales, so outside of the U.K., you can see that the U.S., the largest country today, with 41%. BEAR has continued to do extremely well in the U.S. And besides the U.S., we realized some strong results in different European countries. We want to focus other countries with the greatest potential for Lotus Natural Foods. In the short-term, it's not our ambition, and it's not our strategy to be present in 70 different countries. We want to focus on the countries that will contribute the most in the years to come. That brings me to the Biscoff chapter. I will show some introductory slides, and in the second part, Isabelle Maes, CMO, and now responsible for both global marketing teams, Biscoff and Natural Foods, will present our Biscoff growth model. Our average growth on Biscoff over the past 10 years is 16%, and yes, we did reach the EUR0.5 billion milestone with Biscoff. That includes cookies, spread, ice cream and chocolates. If you look at cookies only, we were at Number 7, 2021. In 2022, we became brand Number 6 globally. And now I'm proud to announce that we are brand Number 5, 2022. We're pleased, you can also see that the next step, and into that -- to spot Number 4 will take some time and will take some years to reach that. This being said, the long-term ambition is still to become brand Number 3 behind the two of Mongolia’s brands. Here, we are looking at a ranking or an overview of Biscoff, and Biscoff, including not only biscuits, but all categories, all our Biscoff categories. And you see that three countries represent half of our Biscoff sales. That's the United States, United Kingdom and France. Eight countries represent 75% of our total Biscoff sales. And the potential to grow this brand in most of our markets, and for sure, talking about an absolute value, in the larger consumer markets like the U.S., U.K., France, Spain, Germany, China, Australia and Canada. And what is our strategy to realize our growth? How can we manage to further grow in the future? Well, we will disclose the main points of focus in this next chapter, and this will be presented by Isabelle. So I'll give now the floor to Isabelle to go through these next slides.
Isabelle Maes: In 2023, we've made an update of our existing Biscoff strategy, a strategy that has been proven to be very successful over the last years. Yet, at the same time, the world around us does not stand still. There's much more data available. Retailers have reinvented themselves with rise of e-commerce, and the media landscape has evolved to digital first. We know much more today. We know our customers better, our category status, our consumer status. And most importantly, we did not stand still neither. We have become more global and active in more categories. The new strategy has been developed together with Ben and partners, and is based on country interviews, is based on consumer interviews and surveys in 28 countries and deep dives in a lot of internal and external data. The results of these deep dives were very reassuring. Consumers across the globe love our Biscoff and cookies and our Biscoff spreads, and they especially love our taste and texture. Cookies are consumed globally, so we have the right to win our fair share in each cookie category in every country around the globe. This is a visualization of our updated strategy that will help us to gain that position of Number 3 cookie in the world. Our mission has been sharpened. We want to bring the unique Biscoff taste experience to people's favorite indulgent moments around the world. To realize this, we have a strategy that is focused around four pillars, heroes, halos, demand spaces and amplifiers. I will explain this in more detail on the coming slides because this is really the key change in our strategy. We've also sharpened our activation levers. Top priority still goes to the perfect execution in stores, be it brick-and-mortar stores or e-commerce. For our supporting levers, we will go digital first in marketing and media. We will still focus on away from home, it is key to get people to trial our cookie when they're out wash, be it in a cafe or traveling on an airplane, and we will focus on taste partnerships to create excitement and exposure for our brands. To execute our strategy and to make sure that our people around the globe execute in a focused and similar way, we have strengthened our organization with a Biscoff academy. And we will have a global data team, a global revenue growth management team, and a global media team that will support our areas. To realize our mission of bringing the unique Biscoff taste to people around the world, we have a strategy focused on four pillars. We need to focus on our heroes. We need to make sure that we use the halo effects that they create. We need to broaden our communication around more demand spaces. And we need to use amplifiers to accelerate growth. Now, what does this mean in detail? The Biscoff original cookie, the sandwich cookie and the spreads are our heroes. They are also heroes for our consumers and for our customers, the retailers, because they have strong rotations versus competition. So our first priority is to build penetration for our heroes first in every market where we're present. We still categorize our countries based on their household penetration, so the number of households that buy our cookies once a year. And especially in the first phases, we want our teams to focus solely on our heroes, and not dilute their efforts by bringing new concepts such as Biscoff Ice or Biscoff Chocolate too fast. Our universal distinctiveness is our unique taste and texture, and they create a halo effect for our heroes. People that buy the cookie are 4.5x more likely to buy our spreads than people not buying the Biscoff cookie and the other way around. People do not always enter the Biscoff brand via the cookie. In certain countries like in Australia, a lot of youngsters yet to know Biscoff via the spreads and not via the cookie. So this halo effect is truly unique, and we have to make sure that we actively use it in different ways, for example, by activating the cookie and the spreads on one display in store, by cross-communication on backs and by having one creative idea, one tone of voice for our spreads and cookies in our media activations. In the past, we focused our communication around cookie with coffee. However, there are many more moments when you can enjoy Biscoff. Of course, it is the best cookie with a coffee. But it is also a great snack that you can enjoy on your own or with friends. The Biscoff spread is great on a sandwich and on toast, and if you only type in #Biscoff on TikTok, you will see how many people share their recipes with Biscoff on social media. We can also activate more around specific festive moments such as Ramadan or Diwali that can be different per markets. There are much more demand spaces, but we have defined these five to start focusing on in first instance. Lastly, we can accelerate our growth by activating partnerships with leading CPG brands, synergies and categories, and successful implementations we've been having over the past years is the Nestle partnership with KitKat or the Häagen-Dazs partnership, where we're very proud of because we are the first ever brand to appear on their packaging. But we will also investigate partnerships with key influencers, all with the ambition to spread the news about Biscoff.
Mike Cuvelier: Thank you, Isabelle, and good morning, everybody, also from my side. I will finish the management presentation with going a bit deeper into the financial results. First of all, the company, as you already noted, has delivered, again, a very, very strong set of financials. We are realizing high quality top-line growth in combination with stable high profitability and strong cash flow generation. Top-line growth of more than 20% is supported by close to double-digit volume growth, and that volume growth also further strengthened in the second half of 2023. REBITDA is following top-line growth, also with a growth of more than 20%, to more than EUR208 million. And this REBITDA is also converted in a free cash flow before expansion CapEx, increasing with 26%, and driven by a strong control of maintenance CapEx and a very strong control on working capital. This has allowed us, as already mentioned, to invest more than EUR240 million over the last two years. And at the same time, again, reduce our net financial debt back to EUR120 million and at 0.6x net financial debt over REBITDA. The dividend is following the net profit increase and is increasing with almost 30% to EUR58 per share. The next slide speaks for itself, highlighting again a very strong record revenue growth at stable and high REBITDA margins. And that's actually also what we have been able to deliver over the last five years through corona, through COVID and through inflation, we see that our REBITDA is following our revenue CAGR with 14% respectively, 15%. This is our P&L. This is our P&L by nature. And in order to explain the most important cost elements, I will move to the next slide and then come back to this one. The next slide is basically showing the three major cost components as a percentage of sales. First one is the raw materials, packaging and co-manufacturing, which in 2023 is stabilizing, just south of 35% of sales. The significant cost increases that we've seen over the past few years have been offset by organic growth and operational efficiencies and has helped us, of course, to protect and stabilize the margins. On the services and other goods, you see a slight increase as a percentage of sales. Important drivers from '23 over '22 is the cost for utilities. And at the same time, we've also mentioned in the press release, a moderate increase in marketing spend in the second half of the year, basically aligning ourselves with the ambition to further invest in our brands in 2024. And at the same time also, we've seen some relief on the transport cost, and more specifically, the ocean freight also coming through in the second half of the year are primarily. On the employee benefit expenses, we see a further reduction on stabilization. And we see also here that volume growth and organizational efficiency have countered high labor cost inflation in recent two years. Going back to the statement of profit and loss. Obviously, the depreciation charges have increased, but still, as a percentage of sales at 3.2%, remain stable and are, of course, an absolute value linked to the high level of investments that we've made. In the non-recurring expenses, the EUR2.5 million for 2023 is primarily related to the expenses, related to the Greenfield project in Thailand. So that gives us an EBIT of 16% at EUR170.4 million. The financial results or the financial expenses increased slightly compared to prior year, but we have basically been able to almost offset completely a gain on a balance sheet revaluation of '22 while the reduced net interest expenses have allowed us to keep also the financial expenses at this lower level. So we have a profit before tax of EUR168 million, an effective tax rate of 23%, which is in line with prior years, which is also in line with the guidance that was given before. And that basically ends with a net result of close to EUR130 million, more than 12% on net sales and obviously, an increase of more than 25%. This slide just shows, again, that fantastic evolution of net result, with a CAGR of more than 14% over the last five years, and this 25% increase in the recent year. Looking at capital expenditures. So we have spent close to EUR19 million of maintenance CapEx. This is still well below the 2% on net sales. And this does include also some important investments made linked to sustainability already mentioned before, also the investments that we've done in South Africa, and the solar panels and the batteries are included here. And at the same time, we obviously continue to invest in expansion CapEx with the Biscoff plant in Thailand, being a very important part of that and being on-track. For 2024 and 2025 combined, we estimate the CapEx in the range of EUR200 million. If we look at total investments, we've also invested again EUR11 million in our corporate venture funds, which still also, in terms of capital allocation, remains a priority for the years to come. And our strong cash flow generation is here, further details. You basically see from the REBITDA level of EUR207.5 million that we increased working capital with a very small amount, EUR2 million. We've invested about EUR19 million in maintenance CapEx. So that left us with 90% of REBITDA to invest in expansion CapEx. And so basically, also, after the expansion CapEx, this has allowed us to leverage our debt or to reduce our debt and reduce our leverage further, so we are coming back to the level of 2021, at a net debt-to-REBITDA level of 0.6, which obviously means that a very strong balance sheet at the end of 2023 is actually even stronger. You see the top-line assets, the further investments, of course, but also a further increase of retained earnings and equity. And you basically see a very small net working capital level and a reduction of net financial debt, as already highlighted. We are creating also very strong shareholder value, EPS was already mentioned. And you see that now already for more than 20 years, you see a year-over-year increase in the dividends going back all the way to early 2000s. And that means, that our dividend, again, as a percentage of recurring net result is about one-third and in line with the past years. This concludes the management presentation. Thank you, and we will now open the call for questions.
Q - Alexander Craeymeersch: So yes, so congratulations on a very nice set of results to Jan, Mike and the whole team, obviously. So I just wanted to dig a bit into the cost and where we expect them to land for next year. I have plenty of questions, but I guess, I will have to remain a bit limited. So we saw a decline of your employee expense in relation to the revenue. So are these purely efficiency gains? And can we expect this level going forward, considering that wage inflation will be rather on the low side into 2024? Then maybe if you could give us some insights into the raw material movements as well. And obviously, the H2 now came in at a solid 19.9% EBITDA margin. So I was wondering, that's the goal of like 20%, as we have discussed in the past. And the last question would be, on that 11% price mix change, how much is related to price and how much is related to the mix? That would be wonderful to know.
Jan Boone: Thanks also for the compliments that we received through your detail, very proud on the results. But we don't have the results yet for 2024, unfortunately. So we will not be able to give an answer on your questions. Talking about costs. In the last two years, '22 and '23 were high inflation years, both combined over 20% of price effects. And combining these two years, '24, the price effects will be much smaller. We talked about low-single-digit numbers there. So the growth, and hopefully, we can indeed grow further in '24, the growth will have to come from volume more than from price this year. Maybe, Mike, you can answer a bit about the cost elements and the cost drivers.
Mike Cuvelier: Yes. So indeed, Alexander, if you look at the raw material, packaging and co-manufacturing, we've basically been able to stabilize the percentage of costs over revenue, which basically means that we have primarily been able to employ those price increases. As far as the services and employee benefit expenses are concerned, we obviously have a fixed cost element in there, much more than you have on the raw material side. So yes, the fact that we are able to stabilize those costs and create leverage is obviously driven by primarily the volume increases. And so that's also the case for the employee benefit expenses as you actually mentioned to yourself. As far as the price/mix evolution, we basically look at it as a whole. And so in detail, we've been able -- as we said, in the second half of the year, we've seen a small decrease in the percentage price increase. We've seen kind of a stabilizing negative FX impact, and that basically results in the 11% that you were referring to.
Jan Boone: Maybe, Chris?
Unidentified Analyst: Okay. So indeed, also on my side, I mean, it's great results. We used to have an internal document once called amazing biscuits. I think you proved that today. I think if you look at my questions for now, the call, actually are more on to understand how come the surprise was, at least to us, at least, and I think also internally, you've had some comments that you provide on the H1 call, whereby the H1 result was quite strong. And then you said, well, there needs to be some prudence because, of course, the high comparison base. But in the end, we did not see that at all in the numbers. So the question is a little bit, what happened actually in that market in the second half? Did you take amazing share? Or was it also just the fact that the volume growth just continued also in the second half with also, of course, price mix, as we know. That's my first question. Secondly, if you look at the balance sheet, which is coming quite healthy, of course, and the fact that you also continue to invest in the FF 2022 fund. To what extent would you expand the fund? Because it's, of course, quite small in relation to the company quite today. So do you intend to do more, add on M&A, for example? That's my second question.
Jan Boone: Indeed, we discussed the H1 figures in August. And we said it'd be a bit prudent because the comparables are quite tough, and it's also what we meant. So the results in the second half are also better than we expected ourselves. We did not implement more marketing actions or marketing investments because, as Isabelle explained just a minute ago, we were working on that strategic plan to know where to invest, on which products to invest in, and also the channels. So that was not the reason of the good growth in the second year 2023. I think we sold more than, than we expected in Natural Foods, and Natural Foods, really, the great continuation of its success story amongst others, BEARS, and we're really, really great in the U.S. and we're building a brand there with BEAR in the U.S. And secondly, Biscoff cookies and spreads also performed very well within the cookies, the sandwich. The cookies have done tremendously well. And also for '24, we do expect good growth -- further growth on the sandwich cookies. And in relation to the fund, the fund is, indeed, its limited funds there. We will invest more or less EUR40 million. We're looking at different targets. And we have to say it's not -- we have to be selective, lots of new companies. We -- a lot of companies ask us to support them as from the start, which we don't do. And so we go a stage further. So we don't allow seed money in our funds. It's really companies that have -- start at the next level. So we are quite selective. And if there are more interesting targets, we can always enlarge the fund. But today, we don't need -- we don't need more funds to do the acquisitions that we want. They're all minority stakes, below 20%. All companies that we believe can grow in a sustainable way, companies as well in Europe as in the U.S., and the U.K., but today, mainly in the U.S. So interesting companies that we come across, we looked at, I think, more than 200 different companies. And we invested in six, seven different companies as of today. And hopefully, one or two in the mid-long term can become part of Lotus Bakeries like what happened with Peter's Yard. Maybe other companies that are today in the fund or in the fund in the future can become 100% Lotus Bakeries Company. So, so far, so good. And we also don't want to invest too heavily through this funds because it's a bit more risky, and young companies that have not yet a proven track records, companies that exist five to ten years max. So it's a bit more risky than acquiring long -- growing existing companies. So we don't want to really enlarge the fund too much. We think around that EUR40 million is a good size for us.
Mike Cuvelier: Well, I just wanted to add on is that, indeed, in 2024, again, the focus is, of course, on the expansion CapEx to support the growth. And that's also the guidance that we have given on the 2024, 2025 combined, the EUR200 million, that is in terms of capital allocation, the majority.
Jan Boone: That's without the funding.
Mike Cuvelier: That's without the funds.
Unidentified Analyst: Okay. And just last question from my side then. Talking about capacity and the CapEx. To what extent is actually the capacity utilization a hindrance for growth? Or is it just that when demand would again be in double-digit territory volume terms, you would be able to ship it? Is it possible? Or is it just, yes, close to your limits?
Jan Boone: There's always a cap. It would not be good if we have too many lines that are not utilized or close to fully utilized. And that's also part of the strong profitability of our company. And yes, there could be constraints on certain lines, but it will never be for a long-term period. And it will never be for a lower than half year, max 12-months. We had, last -- in '22, '23, we had some capacity issues on sandwich, which sandwich is -- continue to grow. So certainly, that capacity has to be -- have to be increased in the years to come. So there's always a potential issue on capacity. But the good thing is we have -- we will have three sites. We have land enough to increase where we can add buildings and add lines. And so it's -- it will never be a long-term issue. Maxime?
Maxime Stranart: Yes. Hope you can hear me well. Maxime Stranart from ING. A couple of questions on my end as well, if possible. First of all, one of the key concerns of the market was the volume trend in the U.S. for both Biscoff and BEAR. So if you could shed some light on this, first of all? Then secondly, to use the word of Isabelle, you ambition to accelerate the growth of Biscoff. Previously, back in 2021, you provided some guidance on that. Any updates now that you've basically already exceeded those targets? And finally, looking at CapEx. In 2023, it looks like you have spent EUR20 million less than expected. Any reason for that? And secondly, could you also shed some light on what you expect to spend after 2025?
Jan Boone: And in respect of the U.S., we have two main brands there, that's Biscoff and BEAR, and both of them had a good strong year. We see for Biscoff that it remains important to be active in the airlines. So we are well-positioned in most of the board carriers. And that's a respective marketing, too, that remains very important. We see that we moved up to more than 80% weighted distribution level. So more than 80% of the stores in U.S., we're present. And adding the sandwich cookie in shelf also helps for the original cookie. Before, you saw in lots of U.S. stores, only the 250 gram. Now, the shelf presence is indeed increasing, and that helps, indeed, for the total volume in the U.S. We are at more than 5% household penetration in the U.S., which is quite a U.S. milestone. But it also shows that we still have a lot of potential in the U.S. We have never done significant above-the-line campaigns in the U.S. What we are planning to do, and we are creating the content for it, is to test, via digital marketing, certain cities. The advantage of the digital marketing is that you can really focus on geographically but also on certain populations. So what we are planning to do is, for example, say, three midsized U.S. cities have a digital market campaign there, and compare it with other cities where we did not do anything above the line. So we will gradually have more insight on the effect. Before it was mainly television, and then it was way too expensive for us to go nationwide and to have the television campaign nationwide. Now, digital marketing gives us the tools, indeed, to have a more selective choice of marketing support. So that will be an important aspect. We are going to do this in U.S., but also in other countries like the U.K. And as you know, the U.S., U.K., France, make up for half of our Biscoff sales. And luckily, these countries still have a lot of potential to grow, absolutely. So that's important for the U.S. We move gradually to a very good distribution level. We're going to support it more too digital media. We're going to try also to find some influencers that have a good fit with our brands. For BEAR, BEAR is doing really well. It's a very clean product in the sense that it's very pure. It's apples and pears, and that makes it a unique product in the U.S. market. There are no compromises there, no concentrates in the product. And in U.S., consumers are quite well educated and looking at the product and investigating the ingredients. And that's also part of the reason of the BEAR success because you will offer something clean with the greater taste and with a fun factor for kids. We see that we're gaining more and more distribution in the U.S. And we think that '24 will also be a strong BEAR year for the U.S. markets. That's what we hope for and think that it's going to be a success again in '24. Of course, there is still a younger brand in the market, it exists for about five years. So we have to be prudent also and make sure that we supported enough. We also cannot forget about brick-and-mortar stores. E-commerce is important, we have more and more teams in e-commerce, but more than 90% of the foods is still sold through brick-and-mortar. So we cannot forget to support in-store and the primary shelving, but also promotions and also displays. That's still the core. And maybe, sometimes with all the ideas about digital marketing, e-commerce, we forget that a lot of our products are sold and decided on in the store themselves. So that's also an important aspect. In respect of our growth ambitions related to Biscoff, Biscoff has now realized the EUR0.5 billion milestone, and we hope, in a bit long-term, that we still can grow, of course. And we expect like a single-digit, but mid-high single-digit numbers growth in the years to come, and that's long-term for Biscoff. And then your last question, in respect of capital expenditures, we have indeed a program for the next two years of more or less EUR200 million. We managed that number to give sort of guidance, that's never going to be 100% accurate. But I think for you, it's important. Is it EUR50 million? Is it EUR150 million? Is it EUR250 million? And now, it's going to be more or less EUR200 million. And for '23, it was a bit less than the guidance, but that's also sometimes a spill over from year-to-year sort cut off when the invoice has come. So it's difficult to say it with the last percentage. And for us, it's important that the Thailand factory is on time, and more or less, within budgets. We have a very good feeling with the team that we have onsite. And it's a very good balance between the know-how, the Lembeke know-how, which is over there, combined with the local know-how. So that's why we are -- we feel, at least to say, look, we're going to be able to open the factory on time, within budgets. Maybe, he?
Unidentified Analyst: Two questions from my side. First is on Natural Foods. In 2020, you gave a target CAGR of 12.5% between 2020 and 2025 for that division. Now we are halfway or a little bit over halfway of this period. Can you give an update on what you see as a potential, let's say, CAGR for that division for the next years to come? And on Local Heroes, question on the growth drivers. We saw in the second half a very good performance of the Local Heroes. What are the growth drivers? And do you see some spill over in 2024 of that as well?
Jan Boone: The Natural Foods had a great performance, not only '23, but also the years before. And let's hope we can continue that path. We look at Natural Foods for the years to come in a very positive way. This being said, we also need to make sure that we focus enough. We want to -- and I think it's important to become a brand in a selective amount of countries. In the U.K., that's very clear. We are a brand because BEAR has strong origin in the U.K. and same for Kiddylicious, nakd and TREK. And that's why I'm so excited about BEAR in the U.S. because, I think, if we continue that part of success, we can really create a brand there. So I would rather be present in 10 different countries with Natural Foods with strong footprint, with strong brands, instead of being present 50 different countries with a low -- with a bit of sales. And that's the challenge for the years to come, to really become a brand. What we see is in parts of European countries, we create success, in Netherlands, in France, in Belgium, in Spain. And -- but it's a different project than Biscoff because in most of the countries, we have to be really -- being the pioneer. We bring totally new products. It's very disruptive. And -- but we have to be investing also in growth. So to give a specific percentage, that's quite difficult. If I would know it, I would tell you. But I think you need to remember, we remain very ambitious with Natural Foods. We want to build brands. We talked a lot about BEAR, nakd, Kiddylicious. We also would like to add TREK to that list. And we see that TREK is doing well without great support. And I'm not saying that it sells on the shelf automatically, but it seems to be a -- that of a little hidden assets. So I would like to add that brand to the list. So we have a profitable company. And -- but we also want to remain a growth company. So we're going to certainly make sure that there are enough resources to support Natural Foods brands in the future. I think it's also a good fit for the company to sell and to become -- to be ambitious and more indulgent products like the Local Heroes are, like Biscoff is. We also have a good balance and offer to our consumers these healthy snacking brands. In relation to Local Heroes, they did perform well in '22. In volume, it was not a great year, '23 was a good year for Local Heroes in general. Growth drivers, absolutely, the waffles are doing really, really well. And that's mainly in France and Belgium. Gingerbreads, Snelle Jelle and Peijnenburg are not showing volume growth. So if you look at the Netherlands, the volume growth of the Netherlands itself as a country comes from Biscoff, and volume growth does not come from gingerbreads. We have been starting to communicate in relation to gingerbreads in a more different way. What we do is we have a great, no sugar added gingerbreads from Peijnenburg. The taste is amazing. We worked on the formula. And it taste almost as good as the one with sugar. So we're going to start communicating more about the no sugar added item of Peijnenburg. We started '23, and we'll continue to bring that message in '24, too. And we think that, that's positioning is a good position for Peijnenburg to be in. Other questions? Maybe Samantha?
Samantha Darbyshire: I just wanted to ask a little bit about Biscoff, the new strategy you're talking about. And sorry if I missed it. I just -- I noticed on the slides, there was a lot of reference to -- some reference to 2032. I was just wondering if that's kind of seen as like your next milestone year in terms of becoming the third largest cookie brand? And then on top of that, just this conversation around digital marketing. You made it clear that in some ways, it's clearly more efficient than going with the more traditional methods. But I'm just wondering, could we kind of see a step-up in A&P behind Biscoff over the next few years? I'm just thinking around the operating leverage that you had in H2, and how in the past, you've been very comfortable with EBITDA margins around 19% to 20%. And it just kind of seems like, if you don't step up that investment, we might see those margins kind of creeping a bit higher. So just curious how you're thinking about over the next two or three years.
Jan Boone: Yes, we refer to it as the Biscoff Strategy 2032, showing that we're talking about a long-term vision. I think, as a company, we -- the decisions we make are for the long-term. The decision and capacity increase remains for the long-term, the strategy is also for the long-term. And we will invest more in Biscoff. We will allocate more marketing support to Biscoff in the years to come, and starting with '24, as I explained in some of the previous questions. Will it impact the EBITDA margin, now we are at 19%, 19%? I think most important is that we do the right thing. And that if we see that our marketing support is really paying off, if we see, indeed, that it creates additional volume growth, I think we will boost it further on. But it needs to be in balance. And I think the growth and the profitability needs to be in a -- to have a good balance. So we feel good about the 19%, can also be 19.5%, goes to 20%, can be a bit below 19%. The most important thing is that we do the right thing for the brand in the long-term and not for the short-term. I think that's important. We'll -- 2032 become other milestone, but the milestone will come automatically because now, we will exist 100 years. Maybe we can combine it with other milestones. Let's hope we can. We hope in the long run to become cookie Number 3, not Number 1, Number 1 will be a bit difficult. But Number 3 should be possible in the long-term. It's not for the next years because we need to double or more than double to become the Number 3, and there also has to give us a couple of years' time. So -- and we have created that new strategy. And lots of things have changed. Demand spaces have changed, and we have broaden up demand spaces. So we will not communicate only about cookie with coffee, but more demand spaces. And like Isabelle explained, will be used. We've seen it also through our consumers that we need to increase that demand space. We will use digital communication channels, we will use paid social media in the future, we will be more active on the floor and store. So lots of things are happening, and I think it's important also to see, and that's the advantage of times o like today, that there are more data available so you can test and learn more than ever before. And that will even sharpen our more theoretical strategy. It will sharpen it and bring it to a more pragmatic and bring it to a strategy that we can execute. Maybe last question of Mikheil?
Mikheil Omanadze: Three very quick from me. So one housekeeping question. Could you please just break down the split of sales growth for FY '23? The way I understand is total sales growth of 22%, M&A and FX, plus 1, minus 1, respectively. So organic at 22% out of which volume on an organic basis, around 9%, price around 13%, if you could just comment if that makes sense. The second one is just to make sure that I understood correctly. You mentioned that you expect Biscoff to grow at mid to high single-digits in the medium to long term? That's just a clarification. And the third one is on FY '24, if you can just make any comments that help us model organic sales growth and margins for this year?
Mike Cuvelier: Maybe first on the sales growth split then. So indeed, first half, about 20% of growth, including an 8% volume growth and a 12% price/FX impact, and the FX impact was about negative 1%. You have that same impact in the second half of the year. We basically have about 1% of [indiscernible] sales included in the volume, and you also have about 1% of negative FX impact. That's -- that basically sustain itself. So that's a total of about 22% in the second half coming to the 21% total. That's -- I think I need to read it. So that basically gives you that close to double-digit volume impact including [indiscernible] sales.
Jan Boone: Yes, Biscoff, indeed, to high single-digit growth. That's what we expected. We'll see what it gives us, what we expect today. And that's what our internal forecasts are.
Mike Cuvelier: And that's always a longer-term or a medium-term ambition, and that's a very specific 2024 guidance that we are giving. And I think that also answers your last question, as far as how we see the evolution in 2024?
Jan Boone: Okay. You bet.
Unidentified Analyst: Yes, also congratulate with the results. I will not raise the question about the stock split because I know the answer already. So concerning the future. In which year -- so you should get out your crystal ball. In which year do you expect Natural Foods to reach the same sales level as Biscoff?
Jan Boone: You mean the sales level as Biscoff today?
Unidentified Analyst: Relatively, relatively, sorry. The relative split. And so now it's 50%, 25%-25%, largely. But when do you expect Natural Foods effect too relatively to match the level of Biscoff? Because I think, at some level, Natural Foods maybe has some more potential, given the sugar discussion. Now, you're going more outside of the U.K., more national with Natural Foods, so you should see some kind of acceleration in sales, maybe? Or maybe you haven't talked about that. That's also possible.
Jan Boone: Maybe we have not thought about it because that's why we didn't understand your question. But the ambition is for as well as Biscoff as Lotus Natural Foods to grow. The advantage of Biscoff is that in different countries, we are already a strong brand with quite some volume. And if you grow on that strong volume, you create immediately asset value, strong figures. In Natural Foods, we have strong volume in the U.K. and more and more also in the U.S. But in the other countries, we need to -- the volume is still not extremely high yet, which shows a lot of potential for sure. But we think that if both business units could grow at the same base, and that would be the ambition.
Unidentified Analyst: Okay. And then last. Sorry.
Jan Boone: So we see more that the Local Heroes, that part, and that's also what we have seen last year that, that part will become smaller.
Unidentified Analyst: Okay. And then a third question. In how far can the production or the opening of the plant in Thailand to be a support for the growth in that region? Okay, maybe [indiscernible] the U.S. experience. I don't think that opening a plant in some region helps your sales. It's more the support of the marketing, and then afterwards, the local production, but it's not a production locally as such, that will drive growth, I think. So what can you say about that?
Jan Boone: You answered your question yourself. It's not because we hope in a plant, that people are going to eat more Biscoff. This being said, the advantages that we can bring Biscoff faster to the markets that have fresher products into the markets, and that always helps to please the consumers. And also that we can more reactive on specific short-term questions of our customers. So it does have advantages. But it will not automatically creates a boosts in the region where we have started the factory.
Alexander Craeymeersch: Alexander from Kepler here again. Just some small additional question. So on the capacity that's coming live, actually came live in the second half. What was the timing of that specifically? And maybe if you could give us some insight in the capacity coming live in 2024, the timing on that? Just to know because, I mean, obviously, this year, you grew fantastically with 9% to 10% volume growth. I was just wondering and what extent capacity can help next year?
Jan Boone: We're not going to talk about which factory, which line we will open, and which time in size. So I think that's our job. So we have communicated, we'll invest EUR200 million, mostly in extension of the capacity related mainly to Thailand. And second, extend also to Lembeke and the U.S. So it's our job, indeed, to diligently see when we have to add a new line for which packaging, because each line starts more standards and with the [indiscernible]. But then at the end of the line, you have to choose which packaging in a very automated lines. So if you choose from the beginning, it's a 2 pack, or 2 pieces line or 1 piece line or 250 gram, that's how it should also continue. So you don't have a lot of flexibility there. So I think that's our job. Our message is it's EUR200 million that we believe in volume growth. And I think we have mentioned how much volume growth that we expect in the mid, long-term. And then it's our job to make sure that we can produce the Biscoff cookies. And -- but I'm not going to debate about which line will open, on in which months and which plants.
Alexander Craeymeersch: Okay. Fantastic. But just to confirm, so basically, you always guided for high single-digit volume growth or growth in total. We always saw that that came in -- was also possible with the volume growth. So just to confirm, this year, you have additional capacity for, again, 10% volume growth, if we would depend on it theoretically in our models.
Jan Boone: It's not so easy. Like I explained, if we would grow this year with medium to high single-digit figures for Biscoff, for example, then you have to determine or then you have to know on which products, which Biscoff products? Is it a spread? Is it 250 gram? Is it a 2 piece, is it 1 piece, is it a sandwich? So like I explained, it's linked to a specific line. So I cannot answer your question if, for a certain reason, in a certain country, the 2P line is going to the roof. And we have an issue on the 2P line because we don't have 20% to 30% additional capacity on each line. So I cannot answer your question or confirm what -- your confirmed statements by saying if you grow 8%, you have enough capacity. No, I cannot confirm that. We also -- in '24, '24, we are now in the beginning of '24. I don't know what will be the exact volume split up by SKU. We can be -- we have our budgets and we make assessments. But we -- you never know how the year will end exactly per SKU per products.
Jan Boone: So let's close this session, and thank you for your interesting questions. And if there is a need to have more, either to ask more questions or before you make your model, you can always reach out to Mike.
Mike Cuvelier: Thank you, everybody. And have a nice day.